Operator: Good day, and welcome to Universal Technical Institute's Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the call over to your host today, Matt Kempton. Please go ahead.
Matthew Kempton: Hello, and welcome to Universal Technical Institute's Fiscal Third Quarter 2025 Earnings Call. Joining me today are our CEO, Jerome Grant; and CFO, Bruce Schuman. Following our prepared remarks, we will open the call for your questions. A replay of this call, its transcript and our investor presentation will be archived on the Investor Relations section of our website at investor.uti.edu, along with our earnings release issued earlier today and furnished to the SEC. During this call, we may make comments that contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995, which by their nature, address matters that are in the future and are uncertain. These statements reflect management's current beliefs and expectations and are subject to a number of factors that may cause actual results to differ materially from those statements. These factors include, but are not limited to, those discussed in our earnings release and SEC filings. These statements do not guarantee future performance, and therefore, undue reliance should not be placed upon them. We do not intend to update these forward-looking statements as a result of new information or future developments, except as required by law. Please note, unless otherwise stated, all comparisons in this call will be against our results for the comparable period of fiscal 2024. The information presented today also includes non-GAAP financial measures. These should be viewed in addition to and not as a substitute for the company's reported results in accordance with U.S. GAAP. All non-GAAP financial measures referenced in today's call are reconciled in our earnings press release to the most directly comparable GAAP measure. For more information regarding definitions of our non-GAAP measures, please see our earnings release, financial supplement and investor presentation. With that, I will turn the call over to Jerome Grant, CEO of Universal Technical Institute, for his prepared remarks. Jerome?
Jerome A. Grant: Thank you, Matt. Good afternoon, everyone, and thank you for joining us to discuss our results for the third quarter of 2025. We're excited to be with you today and to share another quarter of strong performance, driven by a keen focus on strategic execution. Before delving into our results for Q3, I want to touch on some of the legislative and regulatory factors we have all been keeping a close eye on that may be impacting certain segments of the broader education space and the landscape we are currently navigating. Let's start with the general operating environment. We see the current federal regulatory environment as conducive to our mission and model. We're executing in a macro landscape that's increasingly supportive of skilled trades. We're having more meaningful conversations with policymakers and employers than ever before, a clear sign of growing momentum. Notably, we are successfully engaging with the Department of Education and other Trump administration offices to explore new avenues for advancing skilled trade growth as they are focused on bringing more jobs to America. With our North Star Strategy closely aligned with the operating landscape, our confidence in the next 4 years is strong. Turning now to developments on the legislative side. Most notably, I'd like to provide some clarity around how we're looking at the passing of One Big Beautiful Bill Act. While this legislation introduced significant changes for higher education broadly, many of the limitations mainly focus on more costly 4-year and graduate programs that we do not offer. Recent discussions that I had in D.C. show that there's strong support for accelerating our efforts to address the skilled labor shortage in the U.S. For example, the bill has created new opportunities for some of our students, particularly our short course programs, which may now become Pell-eligible. These courses, while currently not a significant driver of our revenue, serve as a jumping off point for students to dive deeper into UTI and Concorde's full-time programs. This new legislation provides us with the opportunity to move more aggressively into the short-term credential space. Holistically, the regulatory environment and this administration priorities reinforce the appreciation for technical education and further validates the foundation we have built to deliver value to our students and employers alike. Now turning to the results for the third quarter. We delivered another strong quarter in Q3, reflecting the consistency of our execution and the resilience of our model. Our results were driven by continued demand for skilled collar jobs and strategic investment to grow our reach. We remain focused on scaling our new programs, optimizing student outcomes and investing in our long-term growth strategy, delivering results that continue to meet and exceed expectations. Revenue for the third quarter exceeded expectations, increasing 15% year-over-year to $204.3 million, net income increased roughly 114% year-over-year to $10.7 million with diluted earnings per share of $0.19. Adjusted EBITDA grew over 37% year-over- year to $25.3 million. Average full-time active students grew nearly 13% year-over-year to 23,757 students with total new student starts increasing approximately 3% year-over-year in the quarter. Throughout this quarter, we continue to see validation around the importance of and our impact in skilled trades education. This year, we marked a major milestone by celebrating UTI's 60th anniversary and 6 decades of training America's workforce. As part of that celebration, we have the honor of ringing the opening bell at the New York Stock Exchange this past May. UTI also continues to be featured in prominent media outlets like Forbes, USA TODAY and CNBC's Mad Money. Each of these pieces reflects a shared theme, people are reevaluating the ROI of traditional college degrees and increasingly recognizing the value of skilled trades and other healthcare education. These stories highlight the lives we're changing and reinforce the broader societal shift towards kinds of careers we train for. On our last call, we announced that our executive leadership team was now fully built out to lead the company through this exciting growth phase. With that, we shifted our focus to opportunistic talent investments in our commercial engine. As a result of this, we bolstered our ranks by hiring seasoned divisional leadership to oversee marketing, admissions and business development across both UTI and Concorde divisions. These revenue-driving positions further prepare us to reach our fullest potential as we execute on this next phase of our North Star Strategy. Now let's take a closer look at the division specific highlights for the quarter. Our Concorde Career Colleges division maintained its strong top line and student performance in Q3, benefiting from sustained demand for careers in allied health and nursing and continued operational excellence across our marketing investments. Concorde continues to outpace our expectations and its performance only serves to bolster our anticipation of meeting or exceeding expectations when they move into the post growth restrictions era. The program initiatives we previously announced are progressing as planned and remain on track for 2025. To reiterate, these initiatives include increasing the Dallas nursing program capacity by an additional 60 students, launching a new nursing program in Jacksonville, Florida, and rolling out 10 non-Title IV short course programs across the Concorde campuses. The Heartland co-branded campus also remains on track to open in early fiscal 2026. As you will recall, these campuses are projected to reach an annual revenue run rate of over $4 million once scaled and will serve as a model for future strategic partnerships. Regarding our optimization efforts, construction is underway for our new 60,000 square foot Denver location where the Aurora campus will be relocated. This reimagined campus is scheduled to open in early 2026 and will feature larger simulation facilities, expand our dental hygiene capacity and even space for future program expansions. Now shifting to the UTI division, the UTI division continue to experience strong year-over-year growth in average full-time students, driven by program expansions and the robust market demand. While new student growth softened this quarter, as previously expected, we anticipate a strong fourth quarter as our high school population prepares to begin their studies. Now remember, nearly half of UTI's division starts come in the fourth quarter, and they remain on track for their overall target. Our efforts to optimize existing UTI campuses and expand UTI's campus footprint are underway and on track for fiscals 2025, 2026 and 2027. Our 8 program expansions launching in 2025 are on track and performing to plan. Most notably, this quarter, we added HVACR programs to both Rancho Cucamonga and the Miramar campuses. This brings the HVACR program's footprint to 11 campuses across 7 states. This quarter, we also reached a meaningful milestone in our aviation program. We proudly graduated our first class from our aviation maintenance programs in Avondale and Long Beach campuses. Just as exciting, our Houston-based aviation students took home first place at the 2025 Aerospace Maintenance Competition which is a national event that test both technical skill and teamwork against top training institutions in the country. These achievements reflect not just the excellence of our aviation programs, but the caliber of the students we continue to attract. As far as campus launches, we previously announced that we have 2 new UTI campuses set to open in 2026 pending regulatory approvals. The first being a fully optimized Atlanta campus, which will offer a comprehensive set of programs; and second, our inaugural skilled trades focused campus in San Antonio, both are on schedule and on budget. Once fully ramped, these campuses should contribute significantly to margins as well as generate upwards of $45 million and $23 million in revenue, respectively. Finally, I'm pleased to say that we have identified the fiscal 2027 UTI campus locations and fiscal 2026 UTI program types for our next tranche of expansions. While we won't be providing the specifics on this call, these plans are in place, and I look forward to updating everyone very soon. With another quarter of strong execution and a favorable operating environment, I'm pleased to share that we are raising the low end of our fiscal 2025 guidance ranges for both revenue and new student starts. We now anticipate consolidated revenue between $830 million and $835 million, reflecting approximately 14% year-over-year growth at the midpoint. And new student starts should range between 29,500 and 30,000. With that, I'll turn the call over to Bruce, our CFO, to review our third quarter financial results and talk through our guidance in more depth.
Bruce Schuman: Thank you, Jerome. Our financial performance in Q3 reflects continued solid execution on our strategy as a company. For the third quarter, average full-time active students increased 12.7% year-over-year to 23,757 students. New student starts increased 2.8% year- over-year to 5,721 starts. The Concorde division delivered an 18.8% increase in average full-time active students compared to Q3 '24, while new student starts for the third quarter grew 9.1% year-over-year. The strong year-over-year growth was primarily a result of sustained investments in marketing and admissions as well as the team's strong lead conversions. The UTI division drove an 8.9% year-over-year increase in average full-time active students for Q3. New student starts declined slightly in the third quarter, reflecting a 3% year-over-year decrease. The year-over-year growth in average full- time active students reflects the strong demand for skilled collar graduates and our team's ability to convert leads. New student starts were softer in Q3 as expected due to having one less start instance in the quarter compared to the prior year period, and we continue to remain confident in our ability to achieve our full year starts guidance as outlined. Shifting to our financial performance. Third quarter revenue on a consolidated basis grew 15.1% year-over-year to $204.3 million. Concorde contributed $72.8 million, an increase of 20.7% over the prior year quarter. while the UTI division contributed $131.5 million, an increase of 12.2% over the prior year quarter. Looking at profitability, consolidated net income for the third quarter was $10.7 million or $0.19 per diluted share. Adjusted EBITDA for the third quarter increased 37.3% year-over-year to $25.3 million. These results included $1.7 million in growth investment spend related to new program launches and new campus build-outs. Growth investment spend for the year-to-date is $2.2 million. At the end of the quarter, we had 54.4 million shares outstanding. Total available liquidity at the end of the third quarter was $236.9 million, including $47.2 million of short-term investments and $119 million of remaining capacity on our revolving credit facility. We also had a net paydown of $20 million on our revolving credit facility, and we'll continue to closely manage the use of our revolver going forward. Year-to-date operating cash flow was $40.2 million and adjusted free cash flow was $15 million. Year-to-date capital expenditures were $25.5 million, reflecting investments in our program and campus expansion initiatives. Driven by our strong third quarter top line performance and sustained operational execution, we are raising our fiscal 2025 guidance ranges for revenue and starts and reiterating our expectations for all other key metrics. Beginning with revenue, we now expect to generate between $830 million and $835 million of revenue for fiscal 2025 or approximately 14% year-over-year growth at the midpoint. Total new student starts in fiscal 2025 are now anticipated to range between 29,500 and 30,000. This updated outlook reflects the strong performance in both divisions, the continued scaling of new programs and sustained demand across the skilled trades and allied health sectors. We are reaffirming the remainder of our fiscal 2025 guidance ranges. To reiterate, net income is anticipated to be between $56 million and $60 million, with diluted earnings per share of $1 to $1.08 for the year. Full year adjusted EBITDA is expected to be between $124 million and $128 million or around a 23% year-over-year increase at the midpoint. And lastly, full year 2025 adjusted free cash flow is anticipated to range between $62 million and $68 million. In line with historical timing, we expect the majority of our cash generation and year-over-year increase to happen in Q4. In addition to today's earnings call transcript, we encourage everyone to review our press release, financial supplement, investor presentation and the upcoming 10- Q filing. These materials provide the latest updates on our consolidated and segment results, strategic initiatives and guidance. As always, thank you to our team members, students, partners and shareholders for your unwavering support. I'll now turn the call back over to Jerome for his closing remarks.
Jerome A. Grant: Thank you, Bruce. As we move into the remainder of fiscal 2025, our operational goals remain the same. In addition to maintaining a keen focus on finishing the year strong, organically, we're continuing our planning and execution on expanding our campus footprint into greenfield locations broadening the reach of our existing programs and adding new in-demand offerings as well as deepening industry relationships and growing our partner network. Inorganically, we continue to be open to considering acquisitions that both align with our second phase of our North Star Strategy and provide meaningful value to our shareholders. I want to finish today's call by both sharing some exciting news and reiterating the operational and financial aspects of Phase II of our North Star Strategy. We are pleased to announce that following discussions with the Department of Education, we were able to satisfy the agency's requirements for lifting the core growth restrictions that have restricted our Concorde Career Colleges division's growth since the acquisition. We are now in a position to seek the department's approval to proceed with our expansion efforts for Concorde. This is a significant moment for us and enables the company to accelerate Concorde's program and campus growth starting next fiscal year, which is one full year ahead of plan. As we noted previously, adjusted EBITDA margins in fiscal 2026 and 2027 will reflect the impact of deliberate investment to support our expanded campus footprint and program portfolio. Although these investments are expected to temporarily moderate margin growth for the next 2 years, they are foundational to our long-term growth strategy. While we won't be providing formal guidance on the call today beyond 2025, I think it's safe to say that with our ability to move forward early with Concorde's growth initiatives, we expect to see even stronger ramp in revenue and margin expansion beginning in fiscal 2028 and accelerating through 2029 and beyond. North Star Strategy Phase II currently outlines achieving over $1 billion in yearly revenue and approaching $200 million in adjusted EBITDA by fiscal 2029. With our growth platform now fully unlocked, we're confident in our ability to achieve and yes, even exceed those targets. As we close out Q3, I want to underscore how excited we are about what lies ahead. The combination of a supportive regulatory environment, renewed public enthusiasm for skilled trades and growing employer engagement positions the company at the center of national workforce transformation with a robust portfolio of new programs and campuses in development and a leadership team built for growth, diversification and optimization. We believe we are just scratching the surface of what our company will achieve. Thank you for your continued support. We're excited about the momentum we're building and look forward to keeping you informed as we execute on our accelerated growth, diversification and optimization strategy. We encourage everyone to visit 1 of our 32 campuses. So if you're interested, please just let us know, we'll be happy to host you. I'd now like to turn the call over to the operator for Q&A. Operator?
Operator: [Operator Instructions] And the first question comes from Mike Grondahl with Northland Securities.
Michael John Grondahl: Jerome, I wanted to start with Concorde. Congrats on getting that approval. There's been a lot of demand there, a lot of growth. What could Concorde look like in 3 to 5 years? And can you move quick enough to get a couple of incremental campuses, new campuses at Concorde next year?
Jerome A. Grant: Yes. Yes. Mike, can you hear me, Mike?
Michael John Grondahl: Yes.
Jerome A. Grant: Okay. Good. We are having some technical difficulties here in the conference room. So I want to make sure you could hear me. It's a great question. I think really what the agreement we came to with the Department of Education does accelerate our plans by a year. really. We expected the growth restrictions to come off next summer. We've got them off this summer. And I think probably the best way to think about it is what it really means is we're going to be able to get, say, another half a dozen or so, maybe more programs out into the market next year in 2026 when our plan had not. And over the life of the plan, the 5-year plan, this means a couple of more campuses on the Concorde side. Can we get them all in, in '26? That's debatable, right? We're starting our approval process right now. We've been doing site selection for quite some time in anticipation of this happening, and we're going to work as hard as we can. But really the sum total of the upside to this, to the 5-year plan that we put out was a year's worth of program launches. Hello?
Michael John Grondahl: Yes. I'm still here. I don't know who that was.
Jerome A. Grant: Okay. That was Matt, sorry, and a couple of more campuses that we put into it. We're working through the approval process right now. And what that means is by the time we get to guidance in November when we report at the end of the fourth quarter, guidance for '26, we'll revise that guidance, and we'll give you our targets at that time.
Michael John Grondahl: Fair. That's good. And as we're thinking about '26 and '27, I think you're saying EBITDA margin expansion will be muted because of all the investment. But I don't think we're going backwards on those in gross dollars. Is that fair? How do you [ want to ] think about that?
Jerome A. Grant: Yes. I mean we haven't given any numbers past 2025. So I want to make sure that you understand that our guidance has been out there. Now the analysts have taken upon themselves to put some models out there that had the EBITDA margins roughly flat to slight increase in 2026, and we think the job they did is admirable. There is an opportunity in 2026, should we invest more aggressively in launching campuses and programs that we wouldn't achieve the same EBITDA in '26 as we did in '25. And really, remember, that all has to do with the sort of change in accounting practice where we no longer take those onetime costs out of our adjusted EBITDA. So we'll be clear on what our strategic investments are going to be in '26 when we give guidance, just as we were clear in '25 when we said the second half of the year, we're going to spend about $6 million, which previously we would have adjusted out of our adjusted EBITDA. But this year, we're not. So next year, we'll be clear about that as well.
Operator: And the next question comes from Raj Sharma with Texas Capital.
Raj Sharma: Solid continued execution, love it, congratulations.
Jerome A. Grant: Thanks, Raj. Sure.
Raj Sharma: Yes. Just on -- continuing on the Concorde acceleration of growth and restrictions being lifted, can you kind of comment on the UTI's readiness around faculty hiring sort of -- you've already talked about regulatory approvals and just sort of site development, what -- how is that going?
Jerome A. Grant: Yes. I mean we've been working pretty closely since the administration changed with them on building a model for progressing forward. So we've moved pretty far forward in terms of site selection for the first campuses. And our program portfolio was already built, assuming we were going to be able to launch them in 2027. So the number of programs that we'll launch on the Concorde campuses, which we'll announce as we -- secure approvals for those was already in place. So we feel pretty good that we're hitting the ground running here. as fast as we can because we've been in negotiations with them for quite some time.
Raj Sharma: Right. And then on the starts, just quickly, I know the Q3 was softer, but your overall yearly starts are fine in line. So you're saying Q4 is going to be as strong or if not stronger than you had expected. Is that still -- so is that a correct understanding?
Jerome A. Grant: Yes, I mean, thanks for asking about it. I think the way to think about it, number one, in terms of looking at starts for Q3, the hard part about looking at starts in any given quarter is that we don't have the same number of starts in every quarter, every year. And for instance, at UTI, there was one large start that we didn't have this quarter. The opportunity was not there for upwards of 500 students. And we had hoped to be able to fill that gap with more high school students starting earlier, but our start in June was too early in June. Our large start in June was too early in June to capture that many more high school students. That being said, we've already got our visibility into what's going on in the fourth quarter, and that's why we felt good about clipping the bottom end of our range and saying that we're going to be closer to that 30,000 than 29 000 where we had before. So we're feeling good about the strong double-digit, almost mid-teen growth rate for the group as a whole, which propels us really nicely into '26.
Raj Sharma: Got it. Got it. And then your capital allocation, you're generating really good free cash flow. You've got greater liquidity, it seems like -- so you -- then we're not -- we're never happy with what's going on, what's next in terms of -- have you thought of -- or can you give us your thoughts on beyond campus expansion, how are you thinking about capital deployment? Any thoughts on sort of buybacks, M&A, debt paydown?
Jerome A. Grant: Right now, I mean, we're very, very focused on generating value through launching campuses and programs. I mean we've already announced 2 new campuses on the UTI side, in 2026. We're working very diligently on the first set of campuses for Concorde now, which actually could increase that either in '26 or early '27. So right now, most of our capital deployment is really focused on generating and even accelerating the organic growth to get that '28, '29 tail on the North Star plan even larger than what we put out in the market.
Bruce Schuman: Yes. Raj, this is Bruce. The only thing I would add to that, you see that commitment to growth even in our CapEx forecast, full $55 million is invested this year. The majority of that is really focused on that growth spend, new campuses, new programs to make sure we can execute in '26.
Raj Sharma: Right. Like I said, we're never happy with what's happening and then we go into the next level of problems, what's next on your free cash flow. And again, fantastic job, fantastic continued execution.
Operator: And the next question comes from Jasper Bibb with Truist.
Jasper James Bibb: Maybe following up on the new starts. Just hoping you could provide a bit more detail on what you're seeing as far as student interest levels in the fourth quarter to date. And the high school students that are coming in now, is that still pretty heavily skewed toward auto/diesel? Or are you getting more traction with HVAC and some of the other skilled trades there?
Jerome A. Grant: So I think the thing to remember, which I said in my comments is that truly 50% of UTI division starts come in the fourth quarter because about mid-40% of the UTI population is high school students who are coming right out of high school. The high school students coming right out of high school predominantly go into auto/diesel. Frankly, in high school, they don't know that much about what skilled trades means in terms of being an electrician or HVAC tech or et cetera. They tend to know I'd like to fix cars. And so still a large portion of the high school students are going into auto/diesel and they're filling in quite nicely. We're seeing what we expected to see from them in the fourth quarter. The timing of starts gave us that hiccup of why we thought we would moderate in the third quarter. But we feel strong enough that we're still in that mid-teens range for the whole company for the rest of the year to raise the low end of our guidance there as well.
Jasper James Bibb: And then can you maybe talk about how large the exposure is to short-term training programs that could benefit from some of the Pell changes you talked about in the prepared remarks. I know it's not probably huge, but maybe just like a percent of revenue or something could help contextualize it for us?
Jerome A. Grant: No. It's very, very small, right, right now. And the reason it's very, very small right now is because none of it was Pell-eligible and therefore, we didn't move aggressively into short-term credential spaces. Different types of welding certificates or smaller portions of the healthcare space is that not being Pell-eligible, those sorts of certificates, we didn't move into it. What I was really trying to underscore in my comments was it gives us an opportunity now beyond what's on our road map to start thinking about shorter bespoke programs that people can get aid on. And therefore, we would be able to move quickly into delivering subsets of our curriculum in a full-time setting, but just shorter durations that would be Pell-eligible.
Jasper James Bibb: No, that makes sense. Last one for me. Could you maybe update us on where you are as far as capacity at Concorde and whether some of your programs, maybe dental comes to mind are being capacity limited at certain campuses now and whether the growth restrictions lift that you can help there?
Jerome A. Grant: Yes. What I said last quarter is exactly what happened in this quarter, which is we've lapped ourselves a year. We had a project over the last year, now 1.5 year of really looking at the clinical capacities and making sure that we were moving as far towards that 100% placement as we could in that year time frame because in many of these cases, you need to fill to your capacities and then you can apply to get the caps lifted. These are soft caps that then can be lifted. And that's where we found ourselves as we hit the third quarter. As I said in the second quarter, which was we are approaching the caps in many of them. That doesn't necessarily mean it's capacity. It means that we were granted the right to have that many students in a course. And now we are aggressively moving forward to get all those caps raised, right? And so that's going to give us a new growth opportunity as we move forward for Concorde as well. There are very few markets and very few courses where we think there's any notion of capacity where the jobs are not there in that specific geography for that specific area. I still think there's a lot of opportunity. And now what we've proven is that we can fill to the opportunity that's been giving us. So now we're going to raise them.
Operator: [Operator Instructions] And the next question comes from Bruce Goldfarb with Lake Street Capital Markets.
Bruce Goldfarb: Jerome and Bruce, congratulations on the great execution. So my first question is where are you on potentially consolidating UTI and Concorde systems, ERP systems and learning systems?
Jerome A. Grant: That's great. I mean one of the things I announced on our last call, not this one was that we had brought in a new CIO and really focusing on those 4 big systems, our ERP system, our SIS, our LMS and our CRM because that's a phase of the integration that we have not yet undertaken. And work is happening in earnest. This isn't something that happens over a year or it's probably a multiyear, 3-, 4-year process to get all 4 systems aligned, but we'll begin to see those efficiencies as we align those systems. And that work is happening in earnest right now.
Bruce Goldfarb: Great. And then in terms of the Big Beautiful Bill, I mean you talked a little bit of -- I think, about the Pell grants. But any other impacts are positive for UTI or how it's going to change the way you guys operate?
Jerome A. Grant: I actually think in my conversations in Washington, where we were asked for very first time, how do we get more interest in the skilled trades. One of the things that we've made very clear was we need to get more financial support to students for certificate programs, nondegree programs, nontraditional 4-year education. And for the Pell eligibility on short courses, gets the conversation going even more. And so we're real happy with what we've seen in that front. As far as any other programs, it wasn't really part of the Big Beautiful Bill Act. I think now as they move into the 2026 budget, votes in their next session. I think that's the next opportunity to see more enhancements or speak with their legislation to their urge to get more people into the trade. So our work continues.
Operator: And this concludes the question-and-answer session. I would like to turn the floor to Jerome Grant for any closing comments.
Jerome A. Grant: Thank you very much, operator. Well, I'd like to thank everyone who attended today. As always, Bruce, Matt and I are available for follow-up questions over the next few days. And we look forward to speaking with all of you, our investors and analysts when we report our fourth quarter fiscal 2025 results in mid-November. So back to you, operator.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.